Operator: Greetings, and welcome to the Olaplex Holdings, Inc. Fourth Quarter 2025 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael Oriolo, Vice President of Investor Relations. Thank you. You may begin.
Michael Oriolo: Good morning, everyone. Welcome to our fourth quarter fiscal 2025 earnings call. Joining me today are Amanda Baldwin, Chief Executive Officer, and Catherine Dunleavy, Chief Operating Officer and Chief Financial Officer. Before we start, I would like to remind you that management will make certain statements today are forward-looking, including statements about the outlook for the Olaplex Holdings, Inc. business and other matters referenced in the company's earnings release issued today. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected or implied by such statements. Additional information regarding these factors appears under the heading “Cautionary Note Regarding Forward-Looking Statements” in the company's earnings release and the filings the company makes with the Securities and Exchange Commission that are available at www.sec.gov and on the Investor Relations section of the company's website at ir.olaplex.com. The forward-looking statements on this call speak only as of the original date of this call, and we undertake no obligation to update or revise any of these statements. Also during this call, management will discuss certain non-GAAP financial measures, which management believes can be useful in evaluating the company's performance. The presentation of non-GAAP financial measures should not be considered in isolation as a substitute for results prepared in accordance with GAAP. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company's earnings release. A live broadcast of this call is also available on the Investor Relations section of the company's website at ir.olaplex.com. Additionally, during this call, management will refer to certain data points, estimates, and forecasts that are based on industry publications or other publicly available information as well as our internal sources. The company has not independently verified the accuracy or completeness of the data contained in these industry publications and other publicly available information. Furthermore, this information involves assumptions and limitations, and you are cautioned not to give undue weight to these estimates. For today's call, Amanda will start by providing highlights of fourth quarter and fiscal year performance and discuss the progress we have made on our strategic areas of focus. Then Catherine will discuss our financial results and 2026 outlook. Following this, we will turn the call over to the operator to conduct the question-and-answer session. With that, I will now turn the call over to Amanda.
Amanda Baldwin: Thank you, Mike, and good morning, everyone. I am pleased to be here today to share that for the full year of 2025, we delivered on our financial expectations while advancing our transformational goals. Net sales were flat at $423 million and adjusted EBITDA margin was strong at 22.2% even as we invested to strengthen our foundation for the future. The year ended on an encouraging note, with fourth quarter revenue growth of 4% and adjusted EBITDA outperforming expectations. I am incredibly proud of this team and feel that we are well on our way in our transformational journey to deliver long-term sustainable growth built on the incredible scientific foundation that is at Olaplex Holdings, Inc.'s core. As a reminder, in 2024, we focused on the research and foundational work needed to build a brand and a business at a global scale. We began the development of our innovation and marketing functions, reconnected with our pros and our partners, designed new business processes, and assembled an experienced and passionate executive team. In 2025, we introduced our Bonds and Beyond vision to create a foundational health and beauty company powered by breakthrough innovation that starts with and is inspired by professional hairstylists. We moved from planning to making that vision a reality across three priorities: generating brand demand, harnessing innovation, and executing with excellence. As I reflect on where we are today, we have reclaimed our rhythm, sharpened our tools, and solidified what we believe is a stable investment model. Now we step into a new chapter focused on optimizing our investments and moving faster with both purpose and precision. From the start, we have called out that transformation is not linear, and that remains the case. But we believe that we have made great progress toward delivering long-term value creation in an industry that is healthy and growing. Our industry remains vibrant. According to Euromonitor, premium hair care is forecasted to grow at 6% to 7% through 2029. We believe hair care is in the early innings of premiumization, with premium hair care representing only 20% of the overall hair care market. As beauty, health, and wellness continue to converge, we believe Olaplex Holdings, Inc.'s scientific capabilities, new brand positioning, and transformational agenda position us well to participate in and get back to leading the premium hair care market. As I just mentioned, to capture this objective, we introduced our Bonds and Beyond vision and outlined three strategic priorities for 2025: generate brand demand, harness innovation, and execute with excellence. I am pleased to share progress against each. Our first priority in 2025 was to generate brand demand. To achieve this, we launched a comprehensive new visual identity supported by a 360-degree marketing engine. We successfully refreshed the brand across every touch point, physical and digital, in an effort to ensure that our market presence reflected both our scientific credibility and the emotional resonance of our professional heritage. This transformation included a revamped website featuring elevated brand storytelling, refreshed in-store visual merchandising across our key retail and professional partners globally, and a revitalized content strategy spanning social media, influencer partnerships, and education. The results of this relaunch were clear and measurable. According to our brand health tracker at the end of 2025, brand awareness rose 7%, sentiment improved 3%, and purchase intent trended upward against our pre-launch baseline. We saw significant gains in key brand associations, specifically, we saw improvement in Olaplex Holdings, Inc. as essential to my beauty routine, and Olaplex Holdings, Inc. as containing special ingredients. Beyond sentiment, we significantly expanded our share of voice. In 2025, we increased earned media value by 14% year over year, engaged with nearly 4,000 creators, and generated approximately 2 billion impressions across our 2025 campaign. Our commitment to a pro-first philosophy remains at the center of the flywheel of our business. We moved beyond simple outreach to execute a multilayered strategy designed to put the pro back in the picture. A key highlight was our market blitz program. By deploying teams across seven high-density markets, we reestablished direct, high-touch relationships with stylists. These markets outperformed the baseline, driving average sell-through mid-teens higher on a percentage basis in the 60 days following an activation. In an effort to foster long-term retention, our newly scaled professional education team overhauled nearly 60 core educational assets, modernizing our curriculum to be modular and digital-forward. By integrating these assets with our field efforts, we are providing the professional community with a platform designed to reinforce our position as their most trusted partner. With our new visual identity and 360-degree marketing engine now fully operational, we believe the foundational work of our brand relaunch is complete. As we transition into 2026, our focus shifts from building the engine to high-performance execution. We are committed to raising the bar with every launch, better optimizing our investments, and remaining agile as we continue to sharpen our messaging in a dynamic market. Our second priority for 2025 was harness innovation. Over the past two years, we have worked to systematize our go-to-market engine, aiming to transform our scientific heritage into a consistent pipeline of high-impact launches. We aim to capture the unmet needs for both pros and consumers with the right product, timing, and global support. The potential of this engine was on full display this year, Olaplex Holdings, Inc. delivered four of the top five prestige hair care launches in the industry, according to Circana. To further fuel our long-term trajectory, we made the strategic acquisition of Pervala Bioscience. Pervala specializes in transformative, bio-inspired technologies that can be utilized to enter additional verticals across health and beauty. With a highly curated portfolio of only approximately 30 SKUs, we see significant white space ahead of us. Our third priority for 2025 was to execute with excellence. We have built out the people, processes, and tools we believe are needed to drive executional excellence and efficiency on a global scale. We developed integrated business planning, established clear KPIs, and implemented data analytics designed to improve our speed and outcomes. Additionally, we executed an international realignment that aims to ensure consistent execution globally and prioritizes investments of both time and dollars in markets with the greatest growth potential. We built a strong culture and believe we have hired the right talent that is committed to our vision and driving results. In conclusion, we continue to refine our approach as part of our transformation. Putting in place all the building blocks I have just discussed has already led to sales and sell-through metrics moving in the right direction. After a 35% decline in 2023, and an 8% decline in 2024, we stabilized sales in 2025. While for the full year of 2025, sell-through remained down, we exited the year with improving trends. In fact, in December, we recorded positive sell-through in key accounts reflecting the cumulative efforts of our strategic priorities over the year. The team and I are energized by and confident in the road ahead. So now turning to 2026. In 2026, we will enter a new chapter of our transformation. We have moved beyond the heavy lifting of a strategic recalibration and process building. Today, our focus shifts from our successful initial implementation to crisp execution, optimization, and the deliberate acceleration of our Bonds and Beyond strategy. We believe our foundational pillars are now firmly in place: a 360-degree marketing engine, a robust innovation pipeline, a realigned international strategy, and a strong leadership team. With our core infrastructure stabilized, productive partnerships, and the professional community reengaged, we are ready for our next phase. To drive this next phase, we have identified three strategic priorities for 2026 that continue to align with our Bonds and Beyond framework. First, energize our hero products. Second, fuel science-based innovation. And third, expand our diversified, scalable, go-to-market model. Let us dive into each of these. Our first priority is to energize our hero products. This year, we are utilizing our 360-degree marketing engine to maximize the productivity of our core franchises, which remain the most significant contributors to our brand health and overall volume. As I mentioned earlier, in December, we recorded positive sell-through in key accounts, reflecting the cumulative efforts of our strategic priorities over the year. In 2026, we intend to build on our sell-through momentum by positioning our heroes as the definitive choice in the market. We are upgrading and expanding our core assortments by capitalizing on what makes Olaplex Holdings, Inc. unique, specifically our proprietary claims and compelling proof of performance. We intend to continue to elevate our science-meets-style positioning through targeted marketing support and elevated storytelling. To support these assortments, we are focused on turning our brand awareness into consistent, repeatable conversion. Our second priority is to fuel science-based innovation. Olaplex Holdings, Inc. has always been about bringing technical solutions to real-world hair concerns, and in 2026, we are focused on doing that with even greater emphasis. This year, in addition to our heroes, we are continuing to build out our foundational portfolio. Our R&D and new product development processes have been refined to quickly prioritize innovation that addresses specific, meaningful consumer and professional needs. Our disciplined approach allows us to pursue growth in new verticals that are a natural extension of where we exist today. We are focusing on targeted, science-backed solutions that simplify the user experience and deliver visible results, and as a result, we expect to bring even more innovation in 2026 than we did in 2025. Our third priority is to expand our diversified, scalable go-to-market model. Following the success of our 2025 initiatives, we are focused on sharpening our execution across every channel. First, we intend to capitalize on our renewed professional momentum. After successfully reengaging the stylist community this past year, 2026 is about turning that advocacy into a high-velocity flywheel, ensuring our pro partners have the tools and support to remain our most powerful brand ambassadors. Second, we are deepening our point-of-sale partnerships to ensure our marketing and messaging translate well at every touch point, and utilizing key promotional windows to drive visibility while protecting our premium positioning. Finally, we intend to scale our global reach in a disciplined, repeatable way. Through our three-tiered international strategy, we are prioritizing high-potential regions and improving local execution. This priority also includes efforts to optimize our points of access to meet our consumers where they shop and ensure that as we extend our footprint, we do so with an unwavering commitment to brand integrity. The execution of our three priorities is already visible in our first activations of 2026, which center on the three icons that started it all: No. 1, No. 2, and No. 3. In January, we relaunched our original pro-focused No. 1 Bond Multiplier and No. 2 Bond Perfector with new messaging, education, and available as stand-alone products. This was in direct response to stylists' feedback, intended to remove purchase friction and allow pros to restock their backbars with greater flexibility. This relaunch is a critical reset moment for our professional community. We are currently executing a global retraining program with our partners aimed at allowing our pros to be the ultimate authority on bond building and hair health. Additionally, last week, we unveiled our most significant product innovation for 2026, No. 3+. Over a decade ago, we created the at-home treatment category with No. 3 Hair Perfector. It became a global phenomenon, selling on average one unit every six seconds since 2019. Nevertheless, consumer needs have evolved and so has our science. No. 3+ represents the next evolution in bond repair. Powered by Olaplex Holdings, Inc.'s patented bond-building technology and its new Damage Defense Cationic Complex, No. 3+ now repairs damage across the hair's inner structure and surface simultaneously. It delivers the long-term strength Olaplex Holdings, Inc. is known for, while providing the immediate softening and conditioning that today's consumer looks for, all in a fast, intuitive, three-minute in-shower treatment. The result is hair that is visibly transformed with clinically proven results: three times stronger, three times softer, and healthier-looking after just one three-minute use. In addition, we launched a backbar size to ensure that this new technology is available to our pro community. We believe the opportunity for this product is significant. Our internal research, supported by Circana panel data, indicates that there are approximately 40 million prestige hair care consumers who experience daily damage from heat, mechanical stress, and the environment, yet are not currently using a prestige treatment. Many of these consumers find the category overwhelming and the marketing claims confusing. It is our job to offer a solution. To mark the launch of No. 3+, we have built on our Billion platform with the launch of a campaign “Science Never Looked So Good,” inviting consumers into the Olaplex Holdings, Inc. lab to discover the innovation behind the formulas that have defined the bond repair category for over a decade. The work features actor and comedian Chloe Fineman as Olaplex Holdings, Inc.'s Chief Hair Officer, whose long-term relationship with the brand through her stylist, Olaplex Holdings, Inc. ambassador Jacob Schwartz, offers an authentic perspective on how advanced hair repair shows up in real life. The campaign brings joy and approachability to complex hair science, reinforcing Olaplex Holdings, Inc.'s transparent, science-led, and future-focused approach to hair care innovation. To maximize this moment, we are coordinating a unified global launch across media, influencers, and retail and pro partners. This includes a refreshed visual identity for our No. 3+ packaging that elevates our package design to match our scientific credibility. This refreshed packaging will be brought across our entire portfolio, reflecting our new brand identity with a phased implementation. In summary, we entered the year with brand momentum, a robust innovation pipeline, stabilized margins, and strong cash flow. Our strategic priorities are designed to accelerate our Bonds and Beyond vision. We believe that we have the right model, the right team, and the right actions in place to create long-term shareholder value built on the incredible scientific foundation at Olaplex Holdings, Inc.'s core. With that, I will turn it over to Catherine to review our fourth quarter and fiscal year 2025 results and 2026 outlook. Catherine?
Catherine Dunleavy: Thank you, Amanda, and good morning, everyone. We are pleased with our results, which reflect the disciplined execution of our transformation plan. For the full year 2025, we delivered or exceeded the expectations we shared across net sales, adjusted gross profit margin, and adjusted EBITDA margin. Beyond the numbers, we have fundamentally strengthened our operating architecture, implementing more rigorous processes and establishing what we believe is a more stabilized adjusted EBITDA margin base upon which we can build for long-term growth. Fourth quarter net sales reached $105.1 million, a 4.3% increase year over year, led by strong holiday performance across professional and D2C channels. For the year, sales were $423 million, or flat year over year. Perhaps most encouraging and reflective of our transformational progress is our fourth quarter ending velocity. While total fourth quarter sell-through was slightly lower compared to the prior year, we exited December with positive year-over-year sell-through trends across our key accounts. We are moving into 2026 with clear sequential momentum. By channel, professional increased 18.9% year over year in the quarter to $36.8 million, with net sales increasing 5.5% for the year. In the fourth quarter, growth was driven by high-impact U.S. innovation and strong participation in global holiday events. As we execute our three-tiered go-to-market strategy, we deliberately shifted international volume towards the professional channel as a primary growth engine. Specialty retail declined 14.5% year over year in the quarter to $24.7 million, with net sales decreasing 8.3% for the year. This reflects our deliberate strategic pivot in international distribution, moving volume away from retail distribution partners towards pro partners. Additionally, sell-through remained down on an annual basis, but we saw encouraging momentum exiting the fourth quarter as our initiatives hit the market. Despite the top-line decline, retail outperformed our expectations in the fourth quarter. It is important to note that we believe inventory levels at our key partners are healthy. Direct-to-consumer increased 6.6% year over year to $43.6 million in the quarter, with net sales increasing 3.1% for the year. Our revamped digital strategy successfully captured demand around key shopping events. In the fourth quarter, we delivered strong holiday performance, which led to richer replenishment activity. Over Cyber Weekend, we outperformed select retail partners' expectations with our Wash and Shine kit ranking number one in shampoo and conditioner and our No. 7 ranking number one in hair oil within the premium hair care category. Additionally, we successfully sold on TikTok Shop during the fourth quarter, and while a small contributor to overall revenue, it significantly outperformed our expectations. We expect to expand the strategic channel in 2026 with a focus on recruiting new customers and boosting our overall content engine. By region, in 2025, U.S. net sales were down approximately 3% with international sales up approximately 3%. U.S. net sales remained down while we continue to focus on sequentially improving sell-through. International benefited from the execution of our new go-to-market strategy and our increasingly disciplined promotion process. Adjusted gross profit margin for the quarter was 70.6%, up 200 basis points year over year, driven by supply chain management, which offset lower margin on new products that have not yet reached full production scale or efficiency. Fiscal year 2025 adjusted gross margin was 71.8%, a 40 basis point improvement. Adjusted SG&A was $61.4 million for the quarter and $211.4 million for the year, an increase of $40.8 million year over year. This increase is aligned with our strategic priorities and primarily reflects increases in sales and marketing, which increased $5.9 million year over year in the quarter compared to the previous year and $26.7 million for the year. We entered 2025 with a clear intent to invest in our brand, our people, and our core infrastructure. We believe that we have now reached the right level of investment, and our focus in 2026 turns to refining and optimizing this spend. Adjusted EBITDA was $12.9 million for the quarter, representing a 12.2% margin. This compares to a 17.4% margin in the fourth quarter 2024. For the year, adjusted EBITDA was $93.9 million, representing a 22.2% margin compared to 30.7% in the prior year. This year-over-year change reflects the strategic investments in marketing and people we are making to position our business for sustainable long-term growth. We generated positive operating cash flow again in the fourth quarter. For the year, we generated operating cash flow of $58.7 million, reflecting strong management of our working capital and the power of our asset-light business model. We ended the quarter with cash and cash equivalents of $318.7 million and debt of $352.3 million. Inventory was $60.2 million, down $15 million from $75.2 million in 2024, representing our improved working capital discipline. Regarding our 2026 outlook, we expect net sales in the range of approximately minus 2% to plus 3% versus fiscal year 2025, adjusted gross profit margin between 71% and 72%, and adjusted EBITDA margin of 21% to 22%. This guidance assumes no material impact from tariffs. While the trade environment remains fluid, we believe our global supply chain is minimally exposed. Furthermore, it does not include disruption that may occur from the geopolitical environment. The full range of our outlook balances the momentum we see exiting 2025 and the confidence in our 2026 plan with a recognition that we remain in a state of transformation. Key drivers of our net sales guidance include improved sell-through. We expect sell-through to improve sequentially and turn positive for the year. The range reflects the magnitude and the pace of this recovery. Brand evolution and supply chain. 2026 marks the rollout of new packaging following our February 2025 visual identity launch. While we have robust plans in place, managing this transition alongside a multiyear innovation pipeline adds operational complexity. Our outlook prudently accounts for these evolving supply chain processes. Additionally, this guidance reflects a normalized impact from promotional activities in 2026 as compared to 2025. Macroeconomic context. Finally, we continue to monitor an uncertain global macroeconomic environment and shifting consumer sentiment. Ability to hit the high end of the range is tied in large part to the speed and effectiveness with which we execute on our three core priorities: energizing our hero products, fueling high-impact innovation, and expanding our diversified go-to-market model. As we continue through our transformation, we expect the slope of our demand to be weighted toward the second half of the year. We expect sell-through for both our heroes and our new launches to build sequentially throughout the year as our strategic initiatives take full effect. Specifically, for the first quarter, we expect sales to land below our full-year guidance range on a percentage basis compared to the prior year. We are strategically pacing the sell-in of No. 3+, whereas early 2025 innovation sell-in was more concentrated to the first quarter. Furthermore, EBITDA will be significantly pressured in the first quarter as we front-load marketing to support No. 3+. For the remaining of the year, we expect to see marketing efficiency improve year over year. We will also begin to fully lap our 2025 foundational investments, which started late in 2025, which we believe will allow us to optimize marketing spend. We expect non-sales and marketing operating expense to increase as we annualize the 2025 investments in people and processes that we believe are integral to the success of our transformation. Importantly, we believe our expected 2026 adjusted EBITDA margin range is a sustainable base upon which we can execute our vision, drive sustainable long-term growth, and unlock Olaplex Holdings, Inc.'s true potential. We entered 2026 with stable revenue and EBITDA margins, and are squarely focused on executing our transformation to support our long-term growth. As it relates to our capital allocation, we possess an advantaged asset-light business model that generates consistent, robust cash flow. This, along with our strong balance sheet, allows us to invest in opportunities to accelerate our strategic priorities and drive growth, explore tuck-in acquisitions similar to Pervala, and expand our long-term potential, and evaluate opportunities to return value to shareholders. In conclusion, we met or exceeded our financial expectations in 2025 while restoring brand momentum and strengthening the fundamentals of our business. We are navigating this transformation with discipline, and we enter 2026 with more stabilized margin and clear strategic priorities designed to accelerate our Bonds and Beyond vision and move Olaplex Holdings, Inc. towards consistent long-term value creation. Operator, we are now ready to take questions.
Operator: Thank you. We will now be conducting a question-and-answer session. Please limit yourselves to one question and one follow-up, and requeue for any additional questions. The first question is from Susan Anderson from Canaccord Genuity.
Susan Anderson: I guess maybe just to start out, maybe if you could talk about, I guess, just the discrepancy between the specialty retail and DTC. I guess, the retailer destock in the quarter? Did the specialty retail channel kind of play out as you expected? And then as we look to next year, you mentioned just first quarter being a little bit lower, but maybe also if you could talk about kind of the cadence the rest of the year and then any major launches you are expecting to impact the sales of the quarters? Thanks.
Catherine Dunleavy: Thanks for the question. So let me take the first one you were asking about, which is our specialty retail. And again, we run the business and encourage everybody to look at it as our flywheel, and we also run the business for a total year. Our job is to put the product in front of the customer wherever they want to buy it, and initiatives that we might put in place that appear in the pro channel may actually drive revenue into the D2C channel. So we feel very pleased with the way our flywheel is working. Specialty retail, as we mentioned, outperformed expectations in the fourth quarter, and sell-through did improve sequentially in the fourth quarter versus the third quarter level. We had strong exit rate sell-through velocity, and our top customers turned positive. Additionally, when you look at consolidated retail performance, there continues to be noise with our international realignment, which serves as a headwind to that channel. So in conclusion, in retail, we are pleased with the momentum we are seeing, and sell-through turning positive we believe sets us up for a nice 2026. The second part of your question was about just the first quarter and going through the year. Let me take us on the journey of where we are as a company. 2025 was really our year of initial implementation. We went from planning in 2024 to our initial implementation in 2025. We introduced our Bonds and Beyond vision. We had our first three priorities against that vision: generate brand demand, harness innovation, execute with excellence. We are pleased, as Amanda just went through, with the progress we have made. We successfully relaunched our brand. We launched a full 360 marketing campaign. We accelerated our innovation. We built people, processes, and tools we need to actually execute. We executed our international alignment. And the progress was measurable. Sales were flat after an 8% decline in 2024 and a 35% decline in 2023. Sell-through improved sequentially throughout the year. Awareness, sentiment, purchase intent all increased. We had four of the top five prestige hair care launches. So we are in a much healthier place as we enter 2026 than we were in 2025. The first quarter revenue is going to be below the range and EBITDA significantly below the range. In the first quarter of last year, 2025, we had a very significant pipe for our No. 4 and No. 5 launch, and the pipe for the No. 3 this year is more balanced throughout the year. However, we are putting a lot of marketing spend against the launch of No. 3, which we expect to benefit all the rest of this year and well into the future. And that laps 2025, where we had not yet started to invest in marketing. We think we started at the end of the first quarter. So those two factors combined really drive our EBITDA margin outside of the range for the first quarter. As you think about the second and third and the fourth quarter, we expect sell-through to sequentially improve as we go through the year as we launch our innovations and our initiatives take effect, and our marketing outside of the first quarter you will start to see leverage. We put in place our foundational investments in 2025, and we get to benefit from those in 2026. That benefit will be partially offset by the people cost from the hiring that we did in the back half of 2025 annualizing throughout 2026. So for the year, our SG&A cost will be relatively flat, and we are confident in the EBITDA margins that implies. And we plan to hit our guidance just like we did in 2025.
Susan Anderson: Okay. Great. Thanks for all the color there. Good luck this year.
Catherine Dunleavy: Thank you.
Operator: The next question is from Sidney Wagner from Jefferies. Please go ahead.
Sidney Wagner: Can you share more on those additional verticals across beauty? Just curious, maybe any sense on timing of those? And then where do you see the most opportunity or consumer permission? And then one more just on where are the easy wins in share gain opportunity? You mentioned that you were seeing premiumization in hair. We have certainly seen that as well. How do you think about the TAM in terms of maybe a mass shopper trading up to prestige for the first time? Anything strategically or from a marketing perspective that you need to do to capture those consumers? Thank you.
Amanda Baldwin: Hi, Sidney. It is Amanda. I will talk about that. And, obviously, innovation is the lifeblood of Olaplex Holdings, Inc. and certainly something that we have been focused on from, you know, over two years ago when I joined the organization. Job number one was to get this innovation engine going because there is so much opportunity. I would really focus this on things that we see as opportunity within hair care and the fact that we are a 30-SKU business, which if you look in comparison to other competitors in the market, the large competitors in the market, is significantly under what you might see. And as we talked about innovation and our strategy going forward this year, I think there are two different buckets. One that we are highlighting is the impact of hero SKUs, No. 3+ being obviously the most important of that and a real core launch for us this year. I think that there is a lot of opportunity, to your point about bringing people into this industry and into the premiumization. Through hero SKUs is often how one is able to do that. We have done research, and we alluded to this in the call today, that there are a significant number of consumers. We all experience daily damage due to everything that is going on, and our launch around No. 3+ today is that many do not yet understand the power of a treatment to fix that. And one of the things that I have seen in the hair care category, and we spent a lot of time, you know, again, very research-driven, very data-driven, a lot of social listening, and I have concluded that this is the highest passion, highest confusion category that exists in beauty, which I think is an extraordinary opportunity for us as a brand given that we are very fact-based and science-led. And so we will really be focusing, and I think we have talked over the last couple of years about the opportunity to put the marketing and the education behind our hero SKUs. We are now ready for it. We have not been ready for it yet, and so I think that is a really, really important moment for us. The second that we highlighted was this idea of science-based innovation and finding other areas where we can compete. You know, I will not share yet the future innovation pipeline in this organization. But I will say that it is quite robust, and as Catherine spoke to, we expect to have more innovation coming this year than we have in the past and just getting that engine going. We see a lot of white space in areas where we just simply do not compete. And lastly, that Pervala acquisition allows us to do these things with forward-thinking science and efficacy-driven positioning.
Catherine Dunleavy: Yeah, I would just add on that, you know, as Amanda said, one of the first things she did when she came was to restart that innovation engine. We worked throughout 2025 to put in place robust operating processes that allow us to focus innovation and get to market as quickly as we can. We look out not just in 2026, but we have a multiyear innovation calendar where we have competing priorities for every slot that there is. We have more products that could fill that, so it is a nice place to be when you think about the strength of our innovation pipeline that has been built.
Operator: The next question is from Owen from Northland Capital Markets. Please go ahead.
Owen: Can you just walk us through and provide maybe a little more color on the strong performance in the professional channel and whether it was distributor restocking, new salon wins, stronger sell-through per door, the Blitz program—just any more color there would be great.
Amanda Baldwin: I can speak to that. Nice to hear your voice, Owen. So really, there were two things that were job number one and job number two. Job number one was innovation. Job number two was get back to supporting the pro. This is the heritage of the brand, and so we really have been focused on this as the center of our flywheel from day one. It is a lot of different moving pieces, as you spoke about, that really come to being in contact with the pros, supporting the channels in which they purchase. The Blitz program was a very important piece of this, and I would also highlight our education program. That is something that is really brand new, overhauled over the course of approximately the last year when we put leadership in place into our education team, built out that team, built out the assets, and this—this, I think, of pro is something that does operate slightly different than the consumer business. It is much more human-to-human and education-focused than you might see in what I will call classic marketing in a consumer business. So we are just starting to see the benefits of that. We also had benefits of how we are handling promotions in that channel across the organization. We are just being a lot more thoughtful and disciplined in that approach. So there is a combination of a lot of things. And lastly, the international realignment that you also spoke about is the other key driver of this, and that was really about making sure—and this has been a story also over the course of the last two years—making sure that we have the right partners who are invested in supporting the pro is a really important piece of how we are thinking about our international business.
Owen: Got it. Super helpful. And then secondly for me, focusing on that international front, strong year-over-year growth there. What markets drove that performance? And does 2026 guide assume that international continues to grow faster than domestic?
Catherine Dunleavy: Thanks for the question. We really manage our business as a global business, as a global flywheel, and so we do not typically break out regional performance. We are pleased with our international strategy. We believe that it is what you are seeing in the numbers, and we are optimistic about our global guidance for 2026.
Operator: The next question is from Olivia Tong from Raymond James. Please go ahead.
Olivia Tong: Great. Thanks. Good morning. First question is just around the top-line progression, better understanding the Q1 expectation on sales. You mentioned obviously the base period comparison to a driver of a tougher start to the year, but I am a bit confused by that as you saw a lot of destocking last year, and it sounds like that is less of a factor this year. So, you know, when I look at the comps on a one-year basis, you have got a negative; on a two-year basis, you have the least demanding comp on a two-year stack. So just wondering if you could provide a little bit more color on sort of the cadence as the year progresses. And then what gets you on a full-year basis from the high end to the low end of the year given it is plus or minus a few points around flattish? Just trying to understand what is embedded in that expectation.
Catherine Dunleavy: Thanks for the question. So let us talk about the first quarter. As we have consistently said, we manage the business annually, especially as we are moving through a transformation. Revenue performance in the first quarter is largely driven by the timing difference in the innovation shift. In 2025, we had a large concentration of shipments of No. 4 and No. 5. This year, we are strategically phasing in our No. 3+ innovation. So that is what you are seeing in the numbers. I can talk about the adjusted EBITDA margins again. You know, we will be significantly pressured in the first quarter as we are investing to support that launch, and you are going to see that return during the entire year.
Amanda Baldwin: I would just build on that also to say that it was a very deliberate and strategic choice to launch No. 3+ at this moment in time. And so I think we have the opportunity to focus on our hero and really think about how that can build throughout the entire year. So it is just a very strategic choice to make sure that we are coming out of the gate strong.
Operator: The next question is from Katie Sarah Grafstein from Barclays. Please go ahead.
Katie Sarah Grafstein: Thanks. When you think about the development of the prestige hair care category over time, why do you think it has been less developed than the other prestige beauty categories? And is there a benefit of being a scaled player in this category just as you think about the importance of the pro channel? Thank you.
Amanda Baldwin: Yes. Thanks for the question. I think there are a couple of different things at play. I think that historically in prestige hair, the channels were much more tightly defined than they exist today. So the flywheel that we are talking about is relatively new. The history of premium hair, if you rewind, I am going to go with probably ten years ago, there was a very strong line between products that were available in the pro channel for salons and things that were available elsewhere. So you really did not see premium or pro hair available outside of the salon. So just the size opportunity and scale opportunity of the channel has changed dramatically as we are able to access retail channels and direct-to-consumer, which is obviously where much of the business in the beauty industry is happening. I think the other thing is actually intention of the consumer. Like I said, there is a lot of passion around hair. I think that there is a growing interest in hair and how it actually works. It is something that I think we have actually seen in the skincare industry before. I think it is an interesting model of comparison to look at where there was a probably earlier-stage prestige skincare business, and we have seen that grow significantly over time as people have learned to understand the impact of a more premium product and the impact of science on the efficacy and the results that we see. I think that is why Olaplex Holdings, Inc. is so well positioned at this moment in time, and I would venture to say that Olaplex Holdings, Inc. really started the conversation around scientific and science-led hair care. And we are really excited to get back to leading that conversation. So I think it is a lot around consumer behavior. There is channel behavior. And what we are seeing from our partners around the globe is that they are very excited about what the potential is in this category, which I think bodes well for our future.
Operator: The next question is from Andrea Teixeira from JPMorgan. Please go ahead.
Andrea Teixeira: Hi, good morning, Amanda and Catherine. Thanks for the question. I was hoping if you can please talk about your distribution and shelf into this innovation? And is the outlook that you are embedding in 2026 for distribution to be flattish, or any movement up or down? And then when you think about sell-in and sell-out, I was just hopeful to see how you exit. And you talked about sell-through getting better in December, which is encouraging. But I was hoping to see as you launched March, I just want to see how those dynamics have been playing out and the same with the pro, anything that you have—you talked about the backbar and then the way they have been encouraged with the relaunches. So just to feel like how the sell-through, the sell-in and sell-out have been pacing and consumption in general. If you can talk about consumption into the first few months of the year, that would be wonderful. Thank you.
Amanda Baldwin: Yes. What I can say is that there is no pull forward of anything in this launch, and we do not talk about specifics of exact distribution. But I think if you go in and you look at our product on shelf, you will see the No. 3+, and it really looks great in stores. And so we are very pleased that we are starting to really hit our stride around all the investments that were made in visual merchandising and the opportunity around the brand. So that is what I would comment at this point.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Amanda Baldwin, Chief Executive Officer, for closing comments.
Amanda Baldwin: I just wanted to say thank you to everyone for being with us here today, and we hope you have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.